Rutger Relker: Good morning, everybody. Welcome to our first half '25 results publication. It's great to see so many of you joining this webcast online. I'm happy to introduce to you our CEO, Stephane Simonetta, and our new CFO, Frans den Houter. Stephane will kick off the presentation, with some business highlights. This will be followed by Frans, who will give an update on our financial developments. Stephane will finish the presentation with an update on our strategy, and this will be followed by a Q&A session. Please note that today's webcast and the presentation will be made available later today on our website. Please let me introduce Stephane to kick off the presentation.
Stephane Simonetta: Thank you, Rutger. Good morning, everyone. Let's start this presentation by giving you business highlights to tell you how was the first half and give you also an operational update for each of our segments before handing over to Frans about the financial development. And I would like to start with a few key messages to summarize the situation where we are. As you have seen this morning in our press release our first half performance has been impacted by the market headwinds and by the increased uncertainty due to the global trade policies. This has an impact into our organic growth and that's why as a key message of today, we are adjusting our full year outlook to reflect the market condition. But we continue to take action on what we can do to protect our EBITA margin, to optimize our free cash flow and we have made good progress on our strategy with three value-accretive acquisition that we will be sharing later today, two in the U.S., one intended in Southeast Asia for Semicon. At the same time, we are still actively looking at our divestment program to simplify our portfolio, especially within our building and industry segment. So in a nutshell, managing the short-term challenges due to the market uncertainty, but at the same time, continuing to deploy our long-term strategic actions. Now looking back at the first half, you can see on this slide, basically, now you see the key numbers that, again, will be explained in much more detail by Frans. So in a nutshell, the organic growth is basically the result of the end market headwinds. As you can see, we are reporting a 3.2% organic decline with actually a mixed picture between our three segments because, yes, in industry and semicon, we continue to see organic decline. Also, Q2 was a bit better for industry, but semicon continued to be very low. On the other hand, we still have growth in our building segment, we are reporting a moderate organic growth of 1.4%. As a consequence, our margin is basically the result of the organic growth challenges as we have a semicon margin going down following the volume drop. Our industry margin is still solid. Right? And building is stable compared to last year. But of course, we were expecting a bit better performance due to all the actions we are taking. On the other hand, I'm really pleased that, thanks to all the actions we are taking on pricing excellence and organic growth, we managed to sustain a good added value margins and super pleased also to report that we are improving our free cash flow. Thanks to the great work from our team to reduce inventories and also to manage our capital expenditure. As a consequence, due to the lower margin, our EBITA is down at EUR 1.38. So in a nutshell, as you can see at the bottom of the slide, good improvement in free cash flow and EBITA margin under pressure. Let me go now segment by segment. And I would like to start, as you can see here, by our building segment. In a nutshell, our building growth still positive 1.4%. And our EBITA is stable compared to last year, 12.9% compared to 13% last year. Let me now explain you, as you can see on the left of the slide, why our organic growth, you could say, is only 1.4% because actually, it's a mixed picture. On one hand, very good growth to continue in Americas, in Asia Pacific and in some of our product line, commercial valve, industrial valve, prefab solution, we are actually growing quite well. On the other hand, all this growth is offsetted by the challenge we see, especially in Germany and French market, but also in our connection systems in product line, which has been a bit lower than expected. And therefore, our organic growth is only 1.4%. The margin is stable, mostly because of all the action we took, but of course, we were expecting a better margin because all the actions we took are on track, cost out, inventory, footprint, innovation, and that's what we will continue to do to manage the short term uncertainty. So as a nutshell for building segment, good progress on our operational excellence initiatives and lower-than-expected organic growth, but still positive. If you go now to industry, a different picture. Still a solid performance, 16.8%. And as you can see, the second quarter better than the first quarter, especially because the organic growth is also better in the second quarter than in the first quarter. But overall, you can see it on the top left of the slide, it's a minus 5% organic growth. And we are doing very well, especially in aerospace, high growth in our defense, high growth in our power generation, very good growth. Also in APAC and Middle East. And unfortunately, this good growth are offsetted by the organic decline of the automotive market. And again, by the French and German industrial markets, which remains soft, and this is where we don't see improvement in the short term. On improvement, I think, we continue to take out all the cost out measure, footprint optimization, and that's why we sustain a solid EBITA, a bit lower than last year. That's what we will continue to do in the future. And to conclude, we're very pleased to report that our acquisition with Paulo is actually well on track. And we already see early signs of contribution in terms of growth and in terms of margin, so confirming the strategic rationale of this acquisition. So to summarize, industry, organic revenue growth, EBITA improved in the second quarter, solid performance. Thanks to all the cost out action we took. And the last segment, semicon. This is where we have the biggest challenge on the organic growth. You see we are reporting a first half at 13% decline revenue. This has an impact in our EBITA margin. And that's why our EBITA margin is down to 11.5%. But this is also where we are very careful in our cost-out action, because we have to manage the short term, but also we have to protect the long term. We don't want to be short of capacity when the market will recover. And we are fully aware that this industry is about long-term growth. And yes, short term, we are challenged, especially on our frame and module, in our machine conditioning. We believe now the inventory adjustment from our semicon customer is coming to an end. And now we are just exposed to the market trend in our semicon market. So what are we doing about it, managing the cost, like I said, still investing for the long term in terms of innovation. And of course, the key highlight, even if it's not finalized, is our intended acquisition with GVT to enter the semicon Southeast Asia market. And I'll come back into that because this is where we will improve and we will enter new area for the future growth of the company. So in a summary, for semicon, we continue to see lower demand, very careful about our Q2 and that's why our EBITA margin is under pressure. But I would say it's also about a choice to not go too low in terms of capability and capacity. And before I hand it over to Frans, I will just report also that we continue to make progress on our environmental performance. I'm really pleased that we sustain or percentage of revenue linked to the sustainability development goal with more than 70% of our revenue. And we continue to take action on our own footprint. And thanks to the work from our teams, we managed to reduce 8% of Scope 1 and Scope 2 CO2 intensity. So continue to be on track and made good progress in the first half of the year. That's what I wanted to report as a key business highlights. And now let me hand it over to our CFO, Frans, to share with you a more update about our financial development. Thank you. Frans?
Frans den Houter: Thank you very much, Stephane and Rutger, and good to be with you here this morning and discuss the H1 results of Aalberts. But before I do that, I want to thank all the colleagues in Aalberts to give me such a truly warm welcome. I really enjoy being part of the organization, and I look forward to our Thrive 2030 journey. But before we do that, this morning, it's all about the first half year results. So let me dive into those, in this first slide, where you see four important KPIs that basically summarize where we have been working on and where we are in terms of financials. First, on revenue, we see a decline of EUR 62 million, which is organically EUR 50 million, and that translates into the minus 3.2% organic revenue decline, driven by -- explained by Stephane already, building, we still see a small growth. But yes, industry and semicon, clearly lose revenue growth. That translates into an EBITA margin of 13.5%. Yes, that's 1.5% below the previous 6 months of last year. Still a very good added value. As already mentioned, 63% in line with the previous year. And also the net profit of EUR 151 million, translating into EUR 1.38 per share. Of course, we have been working hard to protect our cash position, and I'm pretty pleased with the free cash flow. Also if you compare year-on-year, EUR 8 million up to a number of EUR 56 million. Yes, we lose money on EBITA because yes, that is the translation of the operational step back, but net working capital and CapEx both delivered EUR 18 million and as such, a nice free cash flow of EUR 56 million, and I'll come back to that in a bit more detail. On CapEx, EUR 100 million, we have been trying to rationalize our CapEx programs and phase them out adjusting to market circumstances. EUR 100 million, EUR 70 million improvement year-on-year. Also good to mention that for the full year, we expect CapEx to be at the level of EUR 200 million to EUR 225 million, which is also a bit lower than our earlier guidance. So first half year results impacted by challenging markets. And let's dive a little bit more deep into the year-on-year comparison. Here, we see the revenue coming down with the EUR 62 million already mentioned, EUR 23 million by acquisitions. We added SGP and Paolo to the portfolio. On the other side, we had the divestments of EPC company and then a small currency effect brings us basically to the EUR 50 million revenue decline. As already stated, predominantly driven by industries and semicon, which are in a more difficult period. And I think we'll summarize you at the bottom also driven by the pressure in automotive that is specifically hitting the industry segments. Next slide, we translate and we look at EBITA. Of course, in acquisitions and divestments, we see the same companies, but then the EBITA effect, small currency effect again, and that brings us to the organic decline in EBITA of EUR 35 million. Basically, three things. We lose EUR 11 million in semicon. We lose a similar amount in industry. And then there's the year-on-year effect of the holding elimination line item where we lose EUR 7 million. And I'll give you a bit more context there in two slides from here and give you a breakdown also comparing with last year. So organic decline, mainly driven by the drop-through of the lower revenue that you saw in the previous slide. As said, let's go to free cash flow. Here, we see in the first red bar, the cash -- the lower cash, because of the EBITA that was at the lower level. But then very clearly CapEx focus, rationalizing our programs and phasing them out EUR 18 million recovery in cash position. And then the net working capital also EUR 18 million, driven by lower inventories, which is hard work, driven by collecting receivables and then slightly offset by the payable position that was a bit lower. But also translation, I think, yes, of good quality of cash, that's been a hard work in inventory and collecting receivables to get this EUR 18 million in our cash position. This, I think, nicely summarized lower EBITA offset by lower CapEx and improved net working capital. On the next slide, it's a busy slide, but I think it summarizes really well year-on-year, what has been going on in the segments and the holding elimination. Let me talk you through. I think Stephane commented already, of course, in his intro. In building, you see summarized here, yes, the decline in revenue year-on-year, also because of the divestments, but organic growth of 1.4%, still positive, and I think good to see also the CapEx positions per segment, EUR 25 million, significantly lower than last year as we also try to rationalize CapEx and use the assets that we already have optimally. In industry, 4.9% revenue decline, but the revenue is still at the same level, of course, supported by the two nice acquisitions that we have added. And CapEx level, yes, similar to next year. And also because we are still finishing some greenfields and also the normal replacement CapEx. In semicon, yes, you see the revenue is a relatively big delta. So already explained by Stephane, we remain focused on the mid and the long run also supported by our acquisition that the intended acquisition that we announced but also visible in the CapEx where we keep investing in our footprint, because we really believe that the mid and the long run, this will be the place to be for us. Finally, as I said, holding eliminations. Important line item. Of course, the elimination line item is more an intercompany correction. Let's focus on the minus EUR 10.4 million that we see here, EUR 7 million down versus last year. It's EUR 7 million more cost. But I think, first of all, good to mention that last year, there was proceeds from an insurance claim included in here. So EUR 10.4 million reflects half of it is the normal holding cost that we have, EUR 10 million to EUR 15 million in total per year. So this is for the first 6 months, let's say, EUR 5 million. The other EUR 5 million come from the acquisition cost for the Paulo acquisition and we settled two small claims, and that brings us to EUR 10.4 million on this line item. Well, again, summarized at the bottom, building stable, industry resilience, and semicon clearly under pressure. Now this is a new slide where we review some key balance sheet items. I think it's really important to also have a good look at it, and I'll talk you through. On the left top, you see clearly that our debt position has gone up with EUR 220 million. That basically reflects the Paolo acquisition that we added to the portfolio, and it brings the leverage to a level of 1.6. Towards year-end, the intended acquisition, we hope to close before Christmas. And that, of course, will then increase the leverage ratio, but we will stay below 2, and we will stay comfortably below the leverage ratio ceiling of 2.5 that we always announced. On the right top, the equity and solvability, I think, in a good place, representing a solid company. And at the left bottom, yes, the ROCE is lower than last year, which is a setback. Of course, driven by the lower EBITA, but also in the other -- on the capital employed side, we also see the net debt effect that I just discussed increasing our capital employed. Net working capital, yes, also a translation of good progress already discussed there. We have made progress on inventories, which as Stephane will touch on in a bit more detail, we have been focusing on collecting the cash from our receivables and the payable position year-on-year has come down. So that offsets a little bit, but a nice improvement of our net working capital position. And that, I think, overall, gives a very strong balance sheet that will support the next steps in our Thrive 2030 journey, Stephane. And I think he will tell a bit more what we're doing there.
Stephane Simonetta: Thank you, Frans. So you have seen that we continue to remain very disciplined on all our financial KPIs to manage whatever the market challenges. But while we manage the short term, at the same time, we continue to take action for the long term. And that's what I would like to report to you now, how we are doing, what progress did we do in the first half in our four strategic action as per Thrive 2030, as per our last Capital Markets Day in December. First of all, a quick reminder of the four strategic action. You can see from the left to the right, accelerating organic growth, optimizing and simplifying our portfolio, evolving our operating system and driving sustainable entrepreneurship. No change. These are still the action with the goal to refocus our company, rebalance our portfolio, and recharge our three segments. That has not changed. What progress did we do in the first half? You can see it here with a simple scorecard, and this is what we will be reporting to you every half year, every full year. So you can count us to show you the progress every time we are live and disclosing our results. Obviously, the first action, the status is not satisfactory with a negative organic growth in the first half. This has to be improved. But at the same time, we continue to invest in some specific organic growth initiative. We start to see the early sign of improvement. But obviously, it's still too soon to report progress. But I can tell you. So when you look at prefab solutions, when you look at our boiler room technology, when you look at our offering for data center, when you look at our U.S. growth ambition, you all will remember, our plan is still the same, to double our revenue in the U.S. over the next 5 years. Aerospace is doing very well, defense as well and also our semicon, which is all about innovation, system integration and design-to-value. More to come, but obviously, the first half results are behind. On the second action, this is where we are actually making good progress with two closed acquisitions, one intended acquisition. And as I said earlier, we still are working actively to make progress about divestments in our building and industry segments. The third one, the Aalberts way, it's all about the functional excellence, but where we did the biggest progress in the first half is on our operational excellence, footprint optimization, and I'll show you a bit more because we are quite pleased with the progress on our inventory days, reducing 10 days compared to last year. Well on track with our target to be less than 90 days this year and 85 days next year. And on sustainability commitment, also well on track, but let's not forget that also here, it's about investing in our people to ensure we have a future-proof workforce to enable our strategy. And as you can see, almost 400 of our leaders have been trained or went through our leadership development program that, of course, what we will continue to do as we cannot win without our people. Now one example, which I think, it's showing you and it's all not about the size because it's still a modest order book. It's still low revenue, but this is where we are investing. Just showing you an example of a prefab solution that we are doing in our factory with one example of what we ship and sold to data center in London, and we are doing that in Europe. We are also looking at expanding this offering also in other verticals like commercial buildings, and this is also an opportunity in the U.S. So you are talking here about a global vertical and our modular thinking where we can use many of the things we do at Aalberts. You see our expansion vessels, some of the valve, and we are very pleased with the progress, and we are investing in people, in footprint to be part of the growth because that's one of the growth driver for the coming years to come. You can see also in the summary, the three value-accretive acquisition and it's all about growth, it's a growth agenda, which also enable us to keep our leadership position, so obviously, aligned with our strategy. And you can see one closed acquisition for our industry segment with Paulo, in the U.S., one close acquisition in the middle -- on the right, sorry, with Geo-Flo for our building segment in the U.S., and in the middle, still an intend, based on what we announced for our semicon segment to enter Southeast Asia, and let me tell you a bit more about this great opportunity. Because indeed, you could say it's a transformative move for Aalberts. We are going to enter the semicon Southeast Asia market. This is going to open new growth area for us. And the way we do it is by having synergies, intending synergies between GVT and our Aalbert's advanced mechatronics solution. Why we are so excited about it? You are talking here about growth agenda, to support GVT customers and continue their expansion, where we will bring from Aalberts all our internal capability competencies. Second, we can also grow with our current customer and support the regional supply chain footprint development. So you are talking here about commercial growth, synergy, also cost synergy, footprint, commercial, we have many synergy identified. And that's why we still believe and we really plan to close this acquisition by end of the year, because it's going to support our organic growth and also supports our margin profile, as you can see here, synergy that will enhance our profitability and cash. So fantastic opportunity. Let's close it, and I look forward to report more once the acquisition is closed, but not for now. And on divestments, I'm sure you remember the slide from our CMD. And now just a reminder that we are still working on divesting potentially EUR 400 million to EUR 500 million, especially in our building and industry segments, and we hope to make progress in the second half, but that what we're working on at the moment. So based on the same criteria, ability to win and market attractiveness. The Aalberts way, this is where -- as you say, we are quite pleased with the progress. Our operations team did a fantastic job. Look at these numbers. And that's what I like when you talk about functional excellence. Its initiative that deliver results. And you can see now, right, footprint -- and footprint, we are on track with our optimization. But I think, due to the market uncertainty, it's all about scenario planning. We have a task force looking almost on a daily basis of the tariff impact. We have made progress on inventories, as I mentioned, EUR 110 million drop compared to last year, 10 days, EUR 10 million saving on operational productivity on the first half and 14% CapEx reduction going down to EUR 100 million. That's what we will continue to do, and that's why we are building what we call capabilities to invest in resource and to ensure we have a continuous improvement culture, so that we can repeat that year-over-year and not do that as a one-off. Good progress, outstanding work from our team. And on the decarbonization level, also no change. We are still working on our six levers, as per our strategy. And it's actually to achieve two key objectives. The first one is our own footprint, to continue to reduce our Scope 1 and Scope 2 emission or intensity. Thanks to our energy-efficient programs, thanks to the usage of renewable energies and also to electrification. And the second goal is to help our customers to reach their sustainability targets through smart product design, through circular economy, and also through value chain collaboration. And I always like to say the sustainability agenda is good for the environment, but it's also good for our business and good for our growth agenda. So now you may wonder, based on the current headwind, what do we plan to do as a short term. We understand that the market uncertainty will continue. We understand that the market softness will continue for the second half. So we will continue to take the action that we took in the first half in order to protect our EBITA margin and improve our free cash flow. So continue to pursue organic growth initiatives, deployed the operational excellence program, as we announced last year. Further accelerate cost out, especially building segments and through operation productivity but also purchasing savings, new area, new opportunity, continued inventory reduction, continue with our CapEx reduction and we hope to make progress on divestments in the second half of the year. So overall, whatever are the market headwinds, we still have strong foundation. We have clear priorities, and the full leadership will be focused on execution, is focused on execution, and that's what we will do to manage the short-term challenges. Now as a conclusion, of course, let's go back to our outlook as we have released this morning in our press release. And you could say, based on the current market softness and market softness based on the uncertainty, looking forward, we don't expect an improvement. As you can see in the middle of the slide, we don't expect an organic revenue growth improvement in the second half of the year. Consequently, we are adjusting our full year outlook EBITA margin to 13% to 14%. And you can count on us to continue to take action to protect our EBITA margin, optimize our free cash flow. And while at the same time, we will continue to deploy and invest for the long term, deploying our strategic action as per Thrive 2030. Thank you very much.
Rutger Relker: Thank you, Frans. Thank you, Stephane, for the presentation.
Rutger Relker: [Operator Instructions] I would now like to give the word to Martijn den Drijver from ABN AMRO, ODDO for the first questions.
Martijn P. den Drijver: Martijn den Drijver from ABN AMRO. I have three questions, one each for each division. I will do them one by one if you'll allow me. The Q2 was softer than in Q1 in terms of organic growth. Is that end market demand softening? Is that destocking? Can you tell us something about customer behavior and what you're seeing there? And in relation to that, you mentioned corrective action taken. Can you elaborate a little bit on what type of actions we're talking about. So that would be question one.
Stephane Simonetta: Thank you for the question, Martijn. And you are right that Q2 organic growth was a bit lower than the Q1, I think, especially in our building and semicon market. So semicon, it's basically the continued effect of the destocking for our customers. So seeing no major change. It was expected at least for us. And that's what we have seen in the first half. And the corrective action we took with semicon, as I say, finding the right balance, adjusting costs, but keeping the flexibility and the capacity for the long term. So I think that -- and that's also where we don't see improvement in the second half, so expect the same activity in semicon. On building, actually, you are right, the organic growth has been a bit lower than the first half. And we saw a market, I think, impact, especially in our connection system and in the German market. That's where the second quarter, so it's market driven, but softer than expected. And that's why the growth in the second half, I think, was only 1%, it's a bit lower. And if you look at industry, you have seen actually Q2 organic growth was better than the first quarter, right, from almost minus 7. We reported minus 2. So here, we saw improvement, still negative. So what we plan to do on the corrective action? I think, industry, it's all on track and because the footprint initiatives, the cost out, actually, we expect the benefit higher in the second half than in the first half. So that's why in the first half, almost 17%. I think it's still a solid performance. And in building, it's basically continuing. So the footprint benefit should also come in the second half. We just finished to close one major site at the end of the first semester. Then you continue to take operational productivity, so about flexing our cost in the factory. It's about direct labor, some variable overhead, fixed cost also, a lot of SG&A cost action taken in building, but also in the other segments. And it will not be for the second half, but we are taking a lot of action on purchasing that should help to have a better impact also in 2026, because we are just starting to launch a new initiative on purchasing and basically using the power of our segments across our business team to have more functional scale and also global scale.
Martijn P. den Drijver: Okay. You've answered quite a number of questions. But to come back on semicon that, that would be my second question. My understanding, you correctly that previously, the statement was, we expect destocking to flush out during the summer. Meaning, more stabilized sales perhaps growing with the market. Are you now guiding for the same type of development in the second half? Is that the right way to think about it? Or do you still expect that flushing out to occur?
Stephane Simonetta: We don't expect improvement in terms of organic growth in the second half. That's our statement. We believe the destocking is coming to an end. That's what we see, but we don't see higher activity and higher requirements from our customers in terms of new equipment.
Martijn P. den Drijver: Clear. And then the third question is on industry. In the second quarter, as you already pointed out, the EBITA margin was quite strong, 17.2%. You made some remarks about production footprint, operational action. Is that 17.2% sustainable, you think, in H2, given the top line developments?
Stephane Simonetta: As you know, we are not giving outlook by segment. But I can tell you that we expect the benefit in the second half of all the cost out action we took in the first half. On the other hand, we don't expect organic growth improvement in the second half based on the current market condition.
Rutger Relker: I'd like to give the word to Chase Coughlan from Van Lanschot Kempen.
Chase Coughlan: I have a couple as well, and I'll take them one at a time, please. Maybe also starting off on semicon. Obviously, there's been quite a lot of talk in the market the last few weeks about maybe 2026 expectations for the space being a bit softer than initially anticipated. I'm curious also given the, let's say, the commissioning of your new plants, do you -- what are your expectations there internally? And do you think there's any risk of underutilization for that facility for the coming years?
Stephane Simonetta: Thank you for the question. Let me first report that our new plant is still on track. We have actually equipment being installed and tested. So aligned -- also aligned with the need from our customers to have this new facility ready. And I would say, the market is quite dynamic. There are so many uncertainties that at the moment, we are really focusing on '25 and '26. It's too early to say. There may be growth, it may be stable. We will report when we have more visibility, [indiscernible], I think we can only report that we don't expect a recovery in the second half in '26, still a lot of uncertainty whether there will be growth or not in the semicon market.
Chase Coughlan: Okay. And my second question, going back to building and specifically in Germany, there was another building products player who reported recently, who actually spoke rather positively about Germany saying that there was some inflection in new dwellings and building permits. So I'm curious on where specifically you see so much weakness? Is this more from sort of the renovation side of things? Or if you could elaborate a little bit more on that German market from the building standpoint?
Stephane Simonetta: Yes, it's a -- you are right that we all expect better trend due to all new investments that are happening on the German industry. We just believe it's too soon to promise that second half will be much better. We are still doing well in our boiler room equipment, also in Germany, where we see the biggest pressure is in our connection system. So it's a specific product line. It's not all our product line, but that's what is making us only growth, like I mentioned, with 1% to 2% and a bit lower than what we were expected. So we are expected much higher organic growth. Now on this specific product line, this is where we see the biggest challenge.
Chase Coughlan: Okay. That's clear. And then my final question, I believe you booked a EUR 20 million release of provisions in the P&L in the first half. Could you maybe elaborate a little bit on what that was? Or if I misunderstood something there?
Frans den Houter: Yes, of course. Indeed, the release of provision of EUR 90 million comparing with EUR 2 million last year, and that EUR 90 million is related to restructuring costs that come out of the balance sheet.
Rutger Relker: Well, we have some more people in the queue. So I'd like to get the word to David Kerstens. David?
David Kerstens: I also have three questions, please. I'll take them one by one. First of all, regarding the building segment, you're guiding for similar organic growth trends for the second half of the year. But I was wondering what will be the impact of copper price inflation and potential tariffs of 50% on copper, which should be accretive to top line growth line, but potentially dilutive to margins. What's your view on the impact here, please?
Stephane Simonetta: That's something we are actively working, and I think it's too soon to report if there will be an impact. I can tell you, we have been able to manage in the first half especially in the U.S., thanks to our pricing, all the impact on the tariff. And at the moment, we don't expect major impact based on what we know today, thanks to the latest development. So not something we expect to have a major impact, and that's why we are giving as an outlook, a similar trend for the second half.
David Kerstens: Okay. And then my second question is related to the acquisition of GVT in semicon. I think in December, you highlighted that portfolio optimization, including M&A, should be accretive to margins and drive profitability towards at least 18% by 2030. But GVT seems to have relatively lower EBITA margins. I understand you have not quantified the synergy impact yet. But does it become more challenging in semicon to get to the 18% EBITA margin target by 2030, because of your acquisition strategy here?
Stephane Simonetta: I think, you're absolutely right that, what they have reported in '24, it's not at the level where we want to be in Aalberts. Let's see what they will report for '25. I think this is still within their end. But we are quite excited with the potential synergy that we see, as I mentioned, in terms of commercial synergy, cost synergy, footprint synergy. And we believe, together, we can make it accretive for margin, for organic growth, and for EPS, are still our long-term ambition. So really, it's about the synergy that we have identified during the due diligence process. So let us close the acquisition first and I really hope to be back next year to explain you a bit more in detail our plan to bring it to reach our long-term objective.
David Kerstens: Okay. Great. And then my final question is on the unallocated cost of EUR 10 million in the first half of the year. Frans, you indicated EUR 5 million was related to acquisition costs for Paulo and settled claims, small claims in the first half. What will be the figure for the second half? Will you also have acquisition costs related to GVT in the second half that will get into the same number of around EUR 10 million, so a EUR 20 million number for the full year?
Frans den Houter: Yes. Thanks. And I think an important one. Indeed, we will have acquisition costs of GVT expected to close this year. So then we will add that as well. That will be a higher number than then to one for Paulo. So the guidance would be that the second half will be a bit higher even than the first half in terms of the normal holding costs, which are between EUR 10 million and EUR 15 million per year. So the guidance would be based on what we now know, EUR 20 million to EUR 25 million for the line item for the full year.
Rutger Relker: It's time for the next person in the queue, which is Kristof Samoy from KBC.
Kristof Samoy: Yes, a few questions have already been answered, but I have two left. First on semicon. In the first quarter, you indicated that you would optimize the cost, but you didn't quantify it. Can you now give us a little bit more color on the exercise you have been doing there in terms of costs, saving potential, and the timing of when these costs and savings will kick in? That's the first one. And then on the recent transaction that you announced and that you hope to close by year-end. At the time of the announcement, 65% of shareholders approved with the transaction. Is there a scenario where you would go ahead with the acquisition, if you don't arrive at 100% of shares, meaning that you could end up in a situation of 80% of shares and a continued listing in Singapore?
Stephane Simonetta: Let me take the first question. And I'm sure you have noticed that actually our margin in the second quarter was a bit better than the first quarter already for semicon, right? Almost 10% versus 12%. So and the action we are taking is, first, to, of course, take out all the variable costs -- variable costs in our factories, in our operations. So that has been taken. We are also adjusting our SG&A to the level, is an absolute minimum, to not compromise the long term. That's basically what we have been doing. We're still trying to do a bit better also on the purchasing side. But that's why we said the 11.5%, 12% is actually, you could say, our choice even if it is not satisfactory compared to last year, but to find the right balance compared to the long-term growth also to be ready to do all the synergy work with the intent acquisition with GVT. That's the action we have been taking. So also in semicon, costs and SG&A has been taken up.
Frans den Houter: Yes. And then your second question on GVT. And the answer is no. So we really want full control over the company. That's also where bid assumptions are based on, and we're confident that we have an attractive proposition. But that process is, of course, for GVT to comment on. Because it's a discussion between their management and their shareholders. But we're confident we have a good proposition for them. So let's wait the coming months, how that will work out.
Rutger Relker: Now I'd like to give the word to Christoph Greulich, Berenberg.
Christoph Greulich: Also two from my side, please, if I may. And the first one is regarding the semicon business. I was wondering after the minus 13% organic growth that we've seen in H1, if you could roughly quantify how much of that is attributed to customers destocking compared to general underlying end market trends? And then I was wondering, implied in your guidance for the second half that we see a similar organic growth trend. If you look at the comp base, I mean, that gets a lot easier, especially in Q4. So if I take into account the easier comp base, does that actually mean that the situation is getting worse from here? Yes, that will be my first question. And then the second topic would be the GVT acquisition. If you could just remind me what is the timeline to reach or obtain the shareholder approval? And then, also in the press release, you are flagging an immediate EPS accretion. Yes, could you quantify that what are you expecting there in 2026 and taking into account the financial expenditure -- expenses for the investment?
Stephane Simonetta: Thank you for the question. Let me take the first one on the semicon. So in the first half, most of it is coming from destocking that we have seen from all our customers. As you remember, it started in Q4, and that has been the major driver. We see lower demand. And that's what we don't see at the moment. Second half getting better. That's why we are adjusting our outlook. We don't see that it will be worse, but we don't see an improvement in the second half of the year. That's basically the reason for adjusting our outlook. When you talk about the GVT acquisition, I think the vote is expected in September. So that's why we also report that following the vote, we expect to close before end of the year. And you understand that before we talk about all the synergies and all the potential, like the previous question, our first priority is to close this acquisition, then we can be more open and transparent about all the synergies and action and opportunity we see following this acquisition.
Christoph Greulich: Yes, that's very clear. And just maybe to confirm. So when you provided the guidance for H2 semicon, you took into account that the comp base is getting a lot easier in Q4.
Stephane Simonetta: We took all the latest outlook from all our customers because we have, of course, have a good collaboration with them, and that's what we believe is a realistic outlook. There are still opportunity like our customers are mentioning also in '26, but for the second half, we don't see improvement in our organic growth.
Rutger Relker: Perhaps on the GVT timeline.
Stephane Simonetta: We just discussed it.
Frans den Houter: Yes, Stephane. There's just one more on the -- there's one more question.
Rutger Relker: Yes, it's Ruben Devos from Kepler Cheuvreux.
Ruben Devos: I just had three questions as well. I think -- I'm sorry, if I repeat a question that has already been answered, because I was a bit later to recall, but it rather revolves around your -- the margins, right? So I was thinking about the quantification of the moving parts. I think the 13% to 14% full year guidance, is that mostly operational deleverage from lower volumes? Or is there other factors like product mix or pricing pressure that we have to think about? Yes. And then I have a follow-up on that.
Stephane Simonetta: Thank you for the question. Let me just repeat the first half and then answering the -- in the first half, the margin drop is mainly linked to two key points, right, the lower volume in our industry and semicon. And that's what we expect also in the second half of the year, plus also, like Frans mentioned, higher extraordinary holding cost compared to last year. So mostly driven by lower volume impacting our organic growth in industry and semicon.
Ruben Devos: Okay. So the -- I guess, in H1, sort of the revenue decline was EUR 60 million. I think the EBITA decline was EUR 30 million, so let's say, 50% sort of drop through. I guess, is that I mean, typically, you had 25%, right, drop through, but that 50%, is that fair to assume that continues maybe 25%, but if an up cycle would happen?
Frans den Houter: Yes. Yes. I think there are three elements. So first of all, indeed, if you look at the drop-through of the EBITA of EUR 32 million on the revenue of EUR 50 million, we first need to correct the holding elimination line item, that Stephane said. I think second, we lose EUR 11 million in semicon half year-on-half year, but there's also a decision to protect our capabilities. And Stephane explained in his introduction, yes, we also look at it in the long term and make sure we're ready for the upturn. A third element in comparing is that in industry segment, we have been continued operational excellence programs, where we expect also some further results in the second half. So that brings that percentage a bit more in perspective.
Ruben Devos: Okay. And then something related to semicon, I think you've said that the construction of the new location in Dronten is on track with equipment being installed and tested. Just curious, given the current market softness, how are you thinking about the pace of this ramp up? Will you align the pace of bringing this capacity online with the market recovery to protect margins? Or how should we think about that?
Stephane Simonetta: I can only confirm that the pace is fully aligned with our customers. We are working very closely. And again, it's about managing the balance between short term and long term. And the long term, the growth is still there. And the long term, this capacity is still needed. So it's fully aligned with our customer. That's what I can tell you now.
Ruben Devos: Okay. And then final question, just on the inventory reduction. I think you've already gone a long way now in H1, but what's the additional potential for further improvement in the second half and into '26, please?
Stephane Simonetta: I think, we are well on track. You're absolutely right. So first of all, we need to continue and sustain this level to be less than 90 days, and we are well on track also to deliver our '26 target shared earlier during the year to be at 85 days.
Frans den Houter: And maybe it's good to give a bit of extra color, because indeed 10 days reduction and really good work by all our teams, it's also fair to add that we -- 2 days improvement is driven by the Paulo acquisition that typically brings a lot of revenue and not so much inventory. And also the ForEx exchange was helping us with 2 days. So I think 6 days of real progress, but you see, yes, some elements like ForEx, of course, an M&A impact are also to be considered. So also if we give guidance for the full year, please take that into consideration as well.
Rutger Relker: I'm happy to see that also we received quite a bit of questions also via our web. So I'll pick one, which I think is quite relevant. It's a question about the full year '26 EBITA margin, the target of 16%, whether that is still achievable.
Stephane Simonetta: Yes. I fully understand the question. Let me first repeat that our priority right now is to continue to take action to protect our margin for 2025. That's where all our team is focusing. And then regarding '26, we will get back in February to update our new target for 2026 based on the current market condition.
Rutger Relker: Thank you, Stephane. I have another question also for Frans, about CapEx. Can you elaborate a little bit more on the CapEx towards 2030, as mentioned in the CMD?
Frans den Houter: Very good. Good question. So let me repeat. For this year, we guide on a CapEx level of EUR 200 million to EUR 225 million. And it is based on the current portfolio. For next year, we expect a similar amount organically. So no M&A impact taken and after that, that level of CapEx will come down as we now have modeled, and it will be around EUR 200 million, say, '27 onwards. The number that has been mentioned in the Capital Markets Day, which is higher is -- yes, is a preliminary number based on also a very larger company. So we mentioned EUR 4.5 billion of revenue there with an active M&A agenda, there was an indicative CapEx number of EUR 250 million and EUR 300 million. I think that's 5 years from now and a lot of open questions, I would like to focus on the guidance on the current portfolio, which I hope we clarified this morning. Thanks for the question, that was a very important one.
Rutger Relker: Thank you, Frans. There's another question coming in, and that's about the status of the divestments. You could give any color on the progress here, and how could divestments potentially also benefit your net debt or EBITA?
Stephane Simonetta: Great question. I think, I can only repeat what I've said that we are actively working on it. In our industry, and building segment, we hope to make first progress in the second half of the year, continue next year. The goal is still the same, EUR 400 million to EUR 500 million revenue. And the divestment we intend to do should help us to improve our net debt position and also improve our leverage ratio.
Rutger Relker: Very good. Thank you. Well, similar topic on the M&A. Do you expect, Stephane, also to do still more acquisitions in the second half of this year?
Stephane Simonetta: It's a great question. But first, we need to close our intended acquisition. That's priority #1. We need to close the great opportunity we have with GVT. Then we are still looking at potentially bolt-on acquisition, but the second half priority is clearly GVT.
Rutger Relker: Thank you. Very clear. There's another one on capital allocation, perhaps one for you, Frans. The EUR 75 million share buyback program is nearly completed. Do you intend to propose an additional share buyback program in the second half?
Frans den Houter: No, I think share buyback is -- it's good to have a program this year, and I'm really happy with the capital allocation policy of Aalberts where this is a final consideration. So we always look at strength of the balance sheet. We invest in our business -- we look, of course, at M&A. And then, if it comes to shareholders, very committed to the 30% of net result dividends. And then just to rehearse a bit, how the sequencing is, when there's excess cash available we look at share buybacks. And that is a discussion we do after we close our books in discussion with our Supervisory Board in February.
Rutger Relker: Thank you very much. I think that we have had all the questions. Yes, I think we've managed to answer all of them. So as we conclude today's webcast, I would like to thank everybody. Also thanks, Frans, Stephane, for joining us today.
Stephane Simonetta: Thank you. Enjoy your day. Bye.